Operator: Good day, everyone, and welcome to the Blink Charging Company Second Quarter 2025 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Vitalie Stelea, Vice President of Capital Markets and FP&A. Sir, the floor is yours.
Vitalie Stelea: Great. Thank you, Matthew, and welcome, everyone, to Blink's Second Quarter 2025 Earnings Call. With us today, we have Mike Battaglia, our President and Chief Executive Officer; and Michael Bercovich, our Chief Financial Officer. Today's discussions will include non-GAAP references. These are reconciled to the most comparable U.S. GAAP measures in the appendix of our earnings deck. You may find the deck along with the rest of our earnings materials and other important content on Blink's Investor Relations website. Today's discussions may also include forward-looking statements about our expectations. These results may be different from those stated, and the most significant factors that could cause these results to differ are included on Page 2 of the second quarter 2025 earnings deck. Unless otherwise noted, all comparisons are year-over-year. And now I will turn the call over to Mike Battaglia, President and CEO of Blink Charging. Please go ahead, Mike.
Michael C. Battaglia: All right. Great. Thanks, Vitalie, and good afternoon, everyone. We certainly appreciate you joining us today, and we have several developments to discuss. But before we dive into the financial performance for the second quarter, I want to take a moment to welcome several new members to the Blink leadership team, each of whom brings critical experience and capabilities that align with our strategy to establish Blink as a profitable technology-driven leader in EV charging. We began our personnel changes in February when we introduced Chris Carr as our new Senior Vice President of Sales and Business Development, and Chris and his team are already achieving meaningful progress expanding our sales footprint and win rate and which is certainly evidenced in our Q2 revenue results. Additionally, I'd like to welcome Michael Bercovich, who joined Blink on June 23 as our new Chief Financial Officer. Michael brings over 20 years of global experience leading finance and accounting organizations through periods of significant growth and transformation. He is a strategic, operationally focused leader with a proven track record of driving value creation. Over the course of his career, Michael has successfully raised and deployed over $250 million in capital through venture, private equity, family offices and institutional investors. In his short tenure, he has already introduced a new level of financial discipline and accountability to Blink. Also joining Blink recently is Harmeet Singh, our new Chief Technology Officer. Harmeet joined Blink through our recent acquisition of Zemetric, which I'll touch on shortly. As the Founder and CEO of Zemetric and in his previous roles, Harmeet has been a pioneer in EV charging innovation. His prior leadership roles at Shell and Greenlots have equipped him with deep industry knowledge that will be instrumental as we continue to advance Blink's technology platform in alignment with our BlinkForward strategic road map. In Europe, we recently promoted Alex Calnan to lead our operations across the region. Alex previously oversaw our U.K. market and is succeeding Miko de Haan. These appointments reflect our commitment to building a results-oriented, aggressive and future-looking leadership team to accelerate Blink's transition to a profitable EV charging company powered by innovation, operational discipline and customer-centric services. Some of these leaders have only been with us for a few weeks, yet they're already making a tangible impact across the organization. Now turning to our second quarter results. As we mentioned on our first quarter call in May, after a slow start for product sales in the early months of 2025, we began to see momentum pick up as we entered the second quarter. With that return to product momentum, combined with the continued strength of service revenue, our second quarter results showed strong sequential growth. In fact, in Q2, we achieved solid growth across the business with total revenues growing 38% sequentially, product revenues growing 73% when compared to Q1 of 2025. Services revenue experiencing another strong quarter, growing 46% year-over-year and 11% compared to the first quarter of '25 and other revenues growing 47% year-over-year. On the product side, 73% growth in sequential revenue was primarily driven by strong demand for our DC fast chargers and Level 2 Series units. As I just mentioned, we began seeing signs of demand improvement at the start of the second quarter, and that materialized across April, May and June. Record growth in services revenue reflects increased demand for our charging and network services in both Europe and the United States. We continue to see strong opportunities to identify, build, own and operate profitable charging sites with an emphasis on DC fast charging. This trend is evident in energy distributed across our networks. During the quarter, Blink delivered a record 49 gigawatt hours of energy, representing a 66% year-over-year increase. Turning to Slide 5. You'll see the consistent growth trajectory of our charging revenue over the last several quarters from Q2 2024 through Q2 2025. Service revenue reached $11.8 million in the second quarter, up 46% year-over-year and increasing 11% sequentially from Q1. This performance reflects higher charger utilization, growth in our portfolio of Blink-owned assets and importantly, increased contributions from DC fast chargers. In fact, revenue from Blink-owned DC chargers increased by more than 300% in the second quarter of 2025 versus prior year, driven by increased utilization and a higher number of units in the field, totaling approximately 150 in the U.S. Turning to Slide 6. I want to provide an update on our progress to reduce operating expenses under the BlinkForward initiative. Our focus on operating discipline and capital efficiency is designed to preserve liquidity while allowing us to invest in high-impact areas that drive both customer value and financial performance, and we are already seeing measurable impact. Of note, as Michael Bercovich will cover in a few minutes, we did incur largely onetime noncash charges of $16.5 million during the second quarter. This amount includes noncash charges related to a write-off of inventory and other asset impairment as well as an increase in the reserve for doubtful accounts receivable. However, and this is important, we achieved a 22% reduction in compensation expense during the second quarter -- excuse me, during the second quarter, and our second quarter operating expenses include approximately $8 million in nonrecurring expenses. These expenses will be eliminated in future quarters with the completion of our previously announced workforce reduction and the scaling down of outside consulting engagements. Our focus remains on aligning our cost and cash burn structures with our long-term objectives, driving operational efficiency and positioning the company to realize consistent revenue growth and eventual profitability. Turning to Slide 7. As part of our strategic evolution, in July, we announced our acquisition of Zemetric, a charging infrastructure company with hardware and software charging solutions that address fleet, multifamily and commercial applications. As we mentioned on last quarter's call, Blink identified a critical gap in our product portfolio. We were missing a viable offering for price- sensitive market segments. Among its other capabilities, Zemetric brings an intelligent and interoperable AC Level 2 product, which immediately fills that gap. The single plug Zemetric L2 chargers are expected to achieve UL certification in the coming weeks and reach volume production in October. In short, we identified a deficiency and we addressed it while accelerating time to market. In addition, the Zemetric software platform brings new capabilities to Blink in our network. Their technology driven by AI was designed with a fleet-first approach that simplifies integrations and helps fleets to lower their total cost of ownership. It also features advanced load management capabilities that combine fleet charging with grid services, smoothing out charging loads on the grid so customers can avoid expensive infrastructure upgrades. Finally, both the Blink platform and Zemetric platforms support interoperability using open standards, which helps to make integration more seamless. Along with Harmeet joining as our CTO, we are pleased to welcome Bonnie Datta, who joins Blink as Senior VP of Global Commercial Operations; and Kapil Singhi, our new Vice President of Hardware and Firmware Engineering. Slide 8 highlights another significant development. On July 17, 2025, we entered into a nonbinding term sheet with Axxeltrova, a private equity firm in the U.K. to form up to GBP 100 million special purpose vehicle, or SPV, to accelerate EV infrastructure deployments in the U.K. under the Local Electric Vehicle Infrastructure, or LEVI program. Blink has already secured multiple contracts with local councils. This SPV structure enables us to deliver the equipment and services required under the LEVI program. We are currently negotiating the terms of a definitive agreement with Axxeltrova. This agreement aligns with our strategy to leverage non-dilutive off-balance sheet capital and underscores our commitment to profitability and capital efficiency, which are core tenets of the BlinkForward framework. And on Slide 9, and in a very important milestone that we announced a week ago, Blink recently resolved the uncertainty around our Envoy subsidiary with an amendment to our previously planned merger agreement that provides a clear path forward. In short, we reached an agreement with the former shareholders of Envoy, our wholly owned car sharing services subsidiary, which released Blink from its payment obligations and liability in exchange for stock and performance-based warrants. The amended agreement provides that our sole remaining payment obligation is satisfied and that Blink will be released from all claims and liabilities following the issuance of $10 million in shares of company common stock and warrants exercisable for shares of company common stock with an aggregate notional value of $11 million divided into 3 tranches with vesting conditions based on defined stock price achievements. And these defined stock price achievements are warrants valued at $2.5 million that vest if Blink's stock trades at $1.70, another $2.5 million vests at $2.10 and the last $6 million vests at $4.85. Each share price milestone must be achieved for 7 consecutive trading days, and the warrants will expire 20 months after their issuance date. We're very pleased to have reached this agreement with Envoy shareholders, and we would like to reiterate that Blink remains debt-free. With that, I'll now turn the call over to Michael Bercovich, our new CFO, to provide further detail on our financial performance for the quarter. Michael?
Michael Bercovich: Thank you, Mike, and good afternoon, everyone. I'm pleased to join you today in my first earnings call as the CFO of Blink. It's been an energizing and educational few weeks transitioning into the company. And what became immediately evident was the commitment to innovation, excellence and collaboration throughout the organization. The culture that Mike and the leadership team have built is a strategic asset, one that underpins both our customer-centric approach and our focus on execution excellence in a fast-evolving market. Since joining, I've been engaged with the team in detailed review of our operations, finance structure and strategic priorities. My focus is not only on driving efficiencies, but also in ensuring that every decision supports long-term growth, operational excellence and our drive to profitability. I am confident that by working together, we can unlock Blink's full potential and deliver some incredible growth. With that said, let's turn to Slide 11. Our Q2 2025 revenues were $28.7 million compared to $33.3 million in the second quarter of prior year. Product revenues for the second quarter of 2025 were $14.5 million compared to $23.6 million in the second quarter of 2024. As Mike mentioned, sequentially, product revenues grew 73%, driven by stronger demand for DC and L2 chargers. Second quarter service revenues, which consists of repeat charging service revenues, recurring network fees and car sharing revenues increased 46% to $11.8 million compared to $8 million in the second quarter of 2024. Other revenues were up 47% year-over-year to $2.4 million in the second quarter, primarily driven by an increase in our warranty revenue. Gross profit was $2.1 million or 7.3% of revenues compared to gross profit of $10.7 million or 32% of revenues in the second quarter of 2024. The decline in gross profit can be explained by several noncash nonrecurring items, which include $4.7 million in inventory adjustments related to the removal and disposal of obsolete inventory identified during field operations. These items were either sold at reduced value or removed entirely from the operational cycle as a part of our ongoing product and service optimization. In addition, $1.7 million related to a noncash write-down of capitalized costs associated with older incomplete projects. These assets originally held in PP&E pending completion, no longer align with our strategic or operational requirements and have been fully disposed. Excluding the impact of this noncash adjustments, gross profit for the second quarter of 2025 would have been $8.5 million or a gross margin of 29.7%. Operating expenses in the second quarter of 2025 were $34.3 million compared to $31.4 million in the second quarter of 2024. In the first 6 months of 2025, operating expenses were $62.8 million compared to $62.3 million in the first half of 2024. Operating expenses in the second quarter of 2025 include approximately $10.1 million in noncash charges associated primarily with the increased reserve for doubtful account receivables as well as an asset impairment charge. Excluding the impact of these charges, operating expenses in the second quarter of 2025 would have been $24.2 million or a year-over-year improvement of 23%. Operating expenses in the second quarter of 2025 also included various compensation and professional services expenses of approximately $5 million that we eliminated on a going-forward basis and as a part of the BlinkForward initiative. Loss per share for the second quarter was $0.31 compared to $0.20 loss in the prior year period. Adjusted loss per share for the second quarter was $0.26 per share compared to $0.18 loss in the second quarter of 2024. Adjusted EBITDA for the second quarter of 2025 was a loss of $24.4 million compared to a loss of $14.7 million in the prior year. As of June 30, 2025, cash and cash equivalents totaled $25.3 million compared to $55 million as of December 31, 2024. Blink had no cash debt as of June 30, 2025. During the first half of the year, we used approximately $30 million in cash. Looking ahead, we expect that this burn rate to decrease in the second half of the year, driven by 3 key factors: revenue growth. Based on the current visibility, Blink expects revenue to show continued sequential growth in the second half of 2025. Lower operating expenses, reflecting disciplined cost management and the benefit of efficiency initiatives already in play. And lastly, improved working capital practices, particularly around receivables management, where we have already implemented stronger practices to accelerate receivables collection and reduce aged balances. I will now turn back over to Mike for his final commentary. Go ahead, Mike.
Michael C. Battaglia: All right. Great. Thank you, Michael. Regarding market conditions, I'm sure you've all been following the prolific amount of public information detailing EV sales, OEM investments in EV technology and the performance of other EV charging companies, which seems to change almost daily. The only thing I'll mention is that we believe industry consolidation will accelerate in the coming months, and we expect the landscape to look quite different over the next year and beyond. At Blink, we are intensely focused on what we can control, staying nimble in the face of changing market dynamics and ensuring that we deliver the right products and services to our customers. When we last spoke on the Q1 call, we told you that we were seeing favorable demand signals and expected to deliver sequential sales growth in the second quarter, and we're pleased to have achieved that expectation. We also told you about a gap we had in our product portfolio related to lower-cost chargers, and we filled that gap with the Zemetric acquisition, which brought a ready-to-market product that essentially eliminated our anticipated new product development costs and significantly reduced our time to market with new value-priced products. Finally, we emphasized our focus on cost reduction actions, and we have achieved meaningful progress in that area as well. During the quarter, we initiated actions that are expected to reduce operating expenses by $8 million on an annualized basis. In the short term, those actions resulted in charges that impacted our total operating expenses in the quarter, but we believe the long-term benefits will be evident in our more streamlined and efficient organization. We are intent on positioning the company as the EV charging provider of choice for customers, partners and investors. We are energized by the momentum we see in the business, and we expect revenue to show continued sequential growth in the second half of 2025. None of this would have been possible without a dedicated team at Blink. I'd like to thank our team for their efforts during the quarter, which resulted in Q2 revenues growing 38% sequentially, including another record quarter of service revenues. We are positioning this company for success, and we thank our customers, investors and partners who believe in Blink. With that, let's move on to Q&A. Operator?
Operator: [Operator Instructions] Your first question is coming from Craig Irwin from ROTH Capital Partners.
Craig Irwin: First, I should say congratulations on the solid revenue results and nice to see some upside there. Michael, I wanted to ask about the gross margins, right? So you had strength in DC fast charging in the quarter, and those typically tend to be materially lower margin than the corporate average. So I was quite surprised to see adjusted margins at 30%. Can you maybe update us on whether or not this margin difference is still material? And what were the puts and takes on gross margins in the quarter?
Michael C. Battaglia: Yes. I'll take a first shot at that. And then if Michael Bercovich wants to weigh in, he certainly can. So first of all, Craig, good to talk to you. So first of all, the most important thing that we can say about this quarter, which probably was certainly a concern for investors out there is that what was going to happen in the second quarter? Was the business going to move forward? Was it going to continue with a similar trend that was Q1? And the good news is that we see momentum in the business, and we're growing again. So strong Q2 revenue, as you mentioned, on an adjusted basis, about a 30% gross margin. Yes, that was driven by a higher mix of DC fast chargers, which tend to have a lower gross margin profile. As we go forward, we do anticipate our DC fast charging sales to continue to grow, and they're obviously high-ticket items. However, counteracting that in terms of -- from a margin perspective is that our Series product line obviously carries higher margins than the DC line. And also the Zemetric product will also help with a higher- margin product profile. So it depends on what the mix is going forward, and we don't quite have the visibility yet on what that's going to look like. But we expect margins to remain at what I'll call historically healthy Blink levels.
Craig Irwin: That's a good thing. That's definitely a good thing. So then you said in your prepared remarks that you expect sequential growth through the end of the year. Your charging service revenue has just been growing great, right? You've really been delivering there consistently, and that's the network and utilization working for you. Can you maybe just give us a little bit of color on product sales and then the other revenue as far as probable progression there through the end of the year? Are we expecting product sales to be the primary driver of this sequential growth for the next couple of quarters?
Michael C. Battaglia: So in the first quarter, Craig, during the first quarter call, I said that, hey, we were going to do better in the second quarter. I didn't say how much better. I just said we were going to do better. And I'm going to say the same thing this time. We're going to do better in the second half of the year than we did even in the first half of the year. Now the kind of the magnitude of that, I'm not going to comment on. Now in terms of sort of the mix, we do expect product sales to continue to be a significant part of the mix going forward. But as is evidenced in these Q2 results, we think it's going to be a broad-based improvement. So we're going to see improvement in product sales. We're going to continue to see improvement in service revenues and other revenues. And we're taking actions across the business, both on the product sales side as well as on the charging services side to do what we can to bolster margins. So I -- without getting into too many specifics, I think what you'll see is that the improvement will be broad-based, and it won't be in just one particular area.
Craig Irwin: Excellent. That makes sense. Then last question, if I may. Cash flows, you did suggest also in the prepared remarks that we should see some substantial improvement through the end of the year. Can you talk about -- obviously, this quarter, you got working capital out. You did a good job overall. But I know there are expenses when you're restructuring a company that are both cash and noncash as things move around, right? So can you maybe help us understand the puts and takes on cash flow for the third and fourth quarters? And I don't know if you can get quantitative for us, but is there potential for us to see substantial progress towards neutral cash use over the next number of quarters?
Michael C. Battaglia: I'll let Michael Bercovich jump in, and I may comment. Michael, go ahead. Yes.
Michael Bercovich: Yes, Craig, nice to meet you, and thank you for your question. So we ended up the quarter with $25.3 million, burning $16.7 million in the quarter. This is not a normal run rate. And some of that, as we said, relates to BlinkForward initiative exit costs and some is already improved with the improvement in working capital practices. Q2 burn also included $5 million in compensation and professional services costs that are not expected to reoccur in Q3 and Q4. Additionally, our headcount reduction actions will result in approximately $8 million annualized cash cost savings going forward. We have actively been improving our AR collections and have been making significant strides in collecting our outstanding receivables. While we are not providing guidance right now, we already see improvements in cash and expect Q3 to be better than Q1 and Q2, along with other financial elements as we discussed on the call.
Operator: Your next question is coming from Sameer Joshi from H.C. Wainwright.
Sameer S. Joshi: Welcome Michael to the team. So just a clarification on the Envoy sort of restructuring or settlement. On the balance sheet, I think there is a contingent consideration of around $23.5 million as of June 30. So this transaction basically gets rid of that and maybe there are some warrant liabilities. But apart from that, that $23.5 million is wiped out. Is that the way we should look at this?
Michael C. Battaglia: Yes. And it doesn't basically get rid of it. It gets rid of it.
Sameer S. Joshi: Yes. It gets rid of it. Okay.
Michael C. Battaglia: I just want to clarify that because it's really an important -- it's an important thing that I think has been kind of hanging over the company a bit. So was there an additional question there, Sameer, or...
Sameer S. Joshi: Yes, yes -- what kind of warranty -- sorry, not warranty, warrant liability is left.
Michael C. Battaglia: Yes, go ahead, Michael.
Michael Bercovich: Yes, let me take this. So as Mike explained, this transaction has 2 tails. One is the $10 million in stock that we are issuing. And then the other one is performance-based warrants. If you see in our press release, we have 3 tranches of $2.5 million, $2.5 million and $6 million at certain performance prices. Once we hit those prices, then we will be converting the warrants. Now the other important information is those warrants also limited in time for 20 months from the issuance. And this is how the transaction has been structured. We're very pleased with the way that we settled the transaction, and it's definitely a balance sheet transaction for us.
Sameer S. Joshi: Understood. And then sort of a similar question for, Zemetric. I don't know if you have disclosed what was paid, but the 10-Q does mention earn-outs. Do we -- has the company -- or is the company willing to disclose what was paid and what is the earn-out liability going forward for Zemetric?
Michael C. Battaglia: Yes. So Sameer, we're not going to disclose the specifics, but I will say that it was comparatively very little cash, mostly structured with stock. And the management team considered it to be a very advantageous deal structure.
Sameer S. Joshi: Got it. And then just one last one on margins. meaning, yes, of course, congrats on the continued sequential growth in service revenues. It shows, I guess, greater utilization. But there is a European component to that. And how does the profitability on the gross margin levels in Europe fluctuate from time to time? I know electricity prices there are many times all over the place. How are you managing that profitability in Europe?
Michael C. Battaglia: Yes, I'll take a first stab and then, Michael, if you want to jump in. But what we see -- what we've seen over the last couple of years and even into this year is that overall, the European margins have remained pretty stable. We haven't seen wild fluctuations even despite the heavy owner-operator mix of the business there. And when we look at growth, so again, on a kind of consolidated basis for both regions, I think I'm -- correct me if I'm wrong here, Michael, but I think the U.S. grew quarter-over-quarter at 47% and Europe grew 26%. So the U.S. actually outpaced the growth from Europe, which we actually thought was kind of an interesting development.
Operator: Your next question is coming from Chris Pierce from Needham.
Christopher Alan Pierce: I just wanted to go a little deeper on Zemetric. I know it's come up a couple of times. But I just want to understand product revenues at Blink have sort of gone one direction. And I guess I just want to understand the product that you felt you didn't have at this point in time and you needed to go out and acquire? Or does this -- do you get charging revenue from this? Or is this just pure equipment sales? Like what should we look for going forward here? And is this something that can be a tailwind to equipment growth? Or is that the wrong way to think about it? Like what's the right way to think about the benefits here?
Michael C. Battaglia: Yes. Yes. Thanks, Chris. So let me answer this because it's actually a number of different things. So first of all, as we went through 2024, our revenue numbers were going in the wrong direction. Now that isn't for any one particular reason, but we know that one of the reasons is that we did not have kind of a cost-optimized charger, what I will call it the lower end of the market for fleet and multifamily. So we were -- we felt like we were missing business at the low end of the market. So first of all, the Zemetric product fills that. So when we looked at the cost profile of the charger that we were developing internally and the cost profile of the chargers that Zemetric had, we felt that we would be in a better position with Zemetric. So that's number one. So we believe that we'll capture more of the fleet and multifamily business going forward with that product. Secondly, they bring interesting network technology that we think is innovative that could weave its way into the Blink network. So there's a technology augmentation aspect to this. Then from a revenue perspective, it's a combination of product -- and they do have revenue, by the way. It's a combination of product sales and what's called -- what we call the CPO business or charge point operator business, which is effectively network fees. So as an example, they manage somewhere in the neighborhood of 1,800 to 2,000 chargers in India. And that is what we call the CPO business. So we think we have an opportunity with the Zemetric platform to actually do more of that type of work in select markets. And then finally, and in some ways, just as important as the rest of the reasons is we were able to bring in exceptional talent. So looking at Harmeet Singh, our new Chief Technology Officer, Bonnie Datta, Kapil Singhi, these are key people that came with the acquisition that we felt would be a 1 plus 1 equals 3 to Blink.
Christopher Alan Pierce: Okay. And then just -- is that a segment of the market where it's as competitive as home charging and it's just one step above that? Or is that the wrong way to look at it at the low end of the market versus home -- sort of -- it don't look like.
Michael C. Battaglia: Yes, I wouldn't equate it to the residential charging market. It's not as competitive as that.
Operator: [Operator Instructions] Your next question is coming from Mickey Legg from the Benchmark Company.
Michael Frederick Legg: Congrats on the quarter, and welcome to the new members of the team. I guess I want to dig in a little more on the Zemetric acquisition as well. Just one more quick little clarification. You mentioned, I think, the volume production is targeted in October for them. If you could just break that down a little bit, give us a little more color on what that ramp looks like. I think you also just mentioned they have revenues currently. So just curious on exactly how that rollout is going to go.
Michael C. Battaglia: Yes, sure. Thanks, Mickey. So first of all, Zemetric brings a dual-port Level 2 charging station that is currently being sold in the market. So their revenues come from a dual port Level 2 that's currently sold in the market, network fees and recurring revenues associated with that, again, as a CPO. And then they have 2 chargers, single plug chargers in development, which are called the Shasta line. And the Shasta line consists of a single plug 48 amp charger and a single plug 80-amp charger. Those are currently in UL testing. We anticipate that those will make it through UL should be the end of this month, but hopefully, that time line sticks. And then we will move the chargers into volume production with a contract manufacturing partner in October. So we're still sizing the opportunity, but we do have opportunities already in our pipeline to utilize that charging station. So this is an example of you take a product that you've acquired and you expose it to the Blink sales team, which is multiples in size of the Zemetric team, and we can get traction on that pretty quickly.
Michael Frederick Legg: Got it. Got it. Right. Yes, it seems like it's a good fit for you guys. And then I wanted to go a little deeper on the cost savings side of things. You mentioned the $8 million eliminated in annual expenses. Can you break down a little bit where those are coming from? I think you mentioned compensation and professional service fee. And then maybe any of the synergies on the cost side that you're expecting from the Zemetric acquisition as well?
Michael C. Battaglia: Yes, Michael, do you want to take that first part?
Michael Bercovich: Yes, absolutely. So what we did is we started, as you remember, in Q1 with the BlinkForward initiative. As a part of that, we started to reevaluate what kind of activities we want to be engaged in, what is the right level of expenses to the right level of revenue. And we've been continuously doing this for the last couple of months. We continue working on that even further with the Zemetric acquisition, it allows us to even think about that broadly because we have additional folks joining the team. The $8 million of annualized expenses, those were more on the cost reduction associated with the workforce reduction that we already executed. The $5 million that we mentioned in the second quarter that will not repeat in Q3 and Q4, it spans over several metrics. Some of that is the onetime compensation expenses that we incurred in Q2. Some of that are those recurring that will go into Q3, Q4 and onward. And some of that is the professional services consulting engagement that we finished or seized and will not pursue going forward. We continue looking in all aspects of the business, and we continue looking at how to reduce operating expenses and how to align those expenses also with the level of the business going forward and drive to profitability, as Mike already talked about.
Michael C. Battaglia: I'll just add one short comment is we see more opportunities to take cost out of the business.
Operator: That concludes our Q&A session. I will now hand the conference back to Vitalie Stelea, Vice President of Capital Markets and FP&A, for closing remarks. Please go ahead.
Vitalie Stelea: Thank you all for joining our call today as we announced another record quarter of service revenues and product revenues that grew 73% sequentially. As it was mentioned earlier, Blink took out about $8 million in yearly operating expenses going forward. And Blink continues to execute on other additional BlinkForward initiatives in the near future. For any additional questions or requests to meet with our management, please e-mail us at ir@blinkcharging.com. Please also follow our website and additional announcements from Blink. And this concludes our call. Thank you.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.